Operator: Good morning, ladies and gentlemen, and welcome to the Amalgamated Financial Corporation Fourth Quarter and Full Year 2023 Earnings Conference Call. During today's presentation, all parties will be in a listen-only mode. Following the presentation, the conference will be opened for questions with instructions to follow at that time. As a reminder, this conference call is being recorded. I would now like to turn the call over to Mr. Jason Darby, Chief Financial Officer. Please go ahead, sir.
Jason Darby: Thank you, operator, and good morning, everyone. We appreciate your participation in our fourth quarter 2023 earnings call. With me today is Priscilla Sims Brown, our President and Chief Executive Officer. As a reminder, a telephonic replay of this call will be available on our Investors section of our website for an extended period of time. Additionally, a slide deck to complement today's discussion is also available on the Investors section of our website. Before we begin, let me remind everyone that this call may contain certain statements that constitute forward-looking statements within the meaning of the Private Securities Litigation Reform Act of 1995. We caution investors that actual results may differ from the expectations indicated or implied by any such forward-looking information or statements. Investors should refer to slide two of our earnings deck as well as our 2022 10-K filed on March 9th, 2023 for a list of risk factors that could cause actual results to differ materially from those indicated or implied by such statements. Additionally, during today's call, we will discuss certain non-GAAP measures, which we believe are useful in evaluating our performance. The presentation of this additional information should not be considered in isolation or as a substitute for results prepared in accordance with US GAAP. A reconciliation of these non-GAAP measures to the most comparable GAAP measure can be found in our earnings release, as well as on our website. Let me now turn the call over to Priscilla.
Priscilla Sims Brown: Thank you, Jason, and good morning, everyone. I'm happy to discuss our fourth quarter results. I'm so thankful to our employees, whose talents and dedication to our company and our mission make winning in difficult situations possible and for our investors who clearly see our differentiated business model that enables our ability to rise above peer returns. It is incredibly rewarding to see your belief in our bank reflected in the price appreciation of our stock during the recent months. Thinking about the eventful year of 2023, perhaps what I'm most grateful for is the stability and deep entrenchment we have with our loyal customers who support us when it matters most, like during the banking crisis earlier in the year. One of my favorite stories from that period was one of our best customers simply told one of our bankers, we are good and then immediately asked how are you doing. That level of customer appreciation transcends the standard vocabulary of customer service, and is the fabric that constitutes the high quality of our deposit franchise. That is what makes Amalgamated different, and it continues to shine through in our fourth quarter results. Looking at our results more closely, our deposit franchise is a clear competitive advantage, as we delivered stellar deposit growth in the fourth quarter, driven by our political, but also our union and non-profit segments. Because of our neutral balance sheet strategy, our on-balance sheet reported growth metrics of $171 million show only part of our deposit story. So I'll take a moment to elaborate on some details. Starting with our political deposits. We saw strong inflows of $236 million, as the presidential election continues to unfold. This growth is ahead of our historical trends, and we're optimistic that we will continue to see political deposits build through the early fall of 2024. Moving to our non-profit and union segments. We also experienced deposit strength, hosting new bank relationships of $203 million. Understanding that these sales cycles are long, we're seeing our pipeline grow and we're optimistic as we continue winning sizable relationships over time. In addition to the new to bank wins, we also saw a nice growth in our existing relationships during this quarter. As we continue to grow, a portion of the new to bank deposits are transitional and staged to move to our trust business. Additionally, we are moving out of the accumulation phase for political deposits, as we are within 12 months of the 2024 election and we now treat newly raised political deposits as more transactional with a shorter duration. As a result and in keeping with our neutral balance sheet strategy, we moved $303 million of transactional political deposits and transitional trust business deposits off balance sheet into our reciprocal network to mitigate the impact of their eventual outflow. We're earning a positive spread on these deposits, which is recorded in non-interest income and which we expect to continue through the second quarter before these deposits begin to be utilized in the third and fourth quarters. To summarize, we had a strong deposit gathering performance during the quarter, with well over $400 million in new deposits. While we recognize these deposit metrics reflect point in time balances, we nonetheless are operating in an enviable position of managing deposit liquidity instead of searching for it. In today's highly-constrained liquidity environment, we are punching well above our weight, giving us many options to deliver returns that are above peers. I'd now like to spend some time telling you about what we've been doing with our liquidity and how we are structuring our balance sheet for sustainable profitability and returns. During the quarter, we utilized our on-balance sheet deposits to reduce our much higher cost brokered CDs by nearly $150 million. As a reminder, we have more than $300 million in wholesale borrowings maturing through the first half of 2024, timed to coincide with our political deposit accumulation. This funding mix shift will help us to mitigate further deposit cost pressure and potentially provide modest margin expansion, if deposit cost pressures begin to ease. On the other side of our balance sheet, we continue to fund loan growth predominantly from the run-off of our traditional securities portfolio, augmented by select security sales. As we change the mix of our assets from securities to loans, balance sheet health will benefit as the portfolio amortization will naturally reduce unrealized loss positions and replace those assets with loans at market rates. It is also worth a reminder that we have sold $550 million of total securities since the second quarter of 2022. And we have been pleased with the beneficial repositioning that has occurred within the last 18 months. Central to our prospective balance sheet structure is the repricing of the lower yielding loans that are maturing. During 2024, we have nearly $225 million in maturing lower-priced commercial real estate loans and a total of nearly $375 million in maturing loans. When paired with our impact lending business, this makes for a terrific opportunity to drive margin expansion and profitability. As discussed last quarter, our margins was reaching an inflection point. And I am pleased that our NIM expanded 15 basis points to 3.44% in the fourth quarter, helped by a 12 basis point increase in our loan yields to 4.68%. Broadly, I couldn't be more excited about our business space of social responsibility in banking. It is a space that we expect to thrive in the years to come and one where we have a dominant position. As we said on prior calls, the market for climate risk alone is significant with an estimated $3 trillion of investment needed over the next 10 years in order for the US to achieve a goal of net zero emissions by 2050. The Inflation Reduction Act signed by President Biden in 2022 is a catalyst as well, as monies are being funneled to critical projects in the renewables, infrastructure and water segments of the market. All areas that will need additional capital as projects get underway. And this is capital that we are well suited to provide. When paired with our impact lending model, we have a potent ability to bring this specialization to life, accompanied by our deposit gathering performance. Our deposit franchise is truly unique and has stood up to the most difficult of tests, with undoubted success time and time again and proven once more with some significant segment wins during the quarter. Our ability to perform also leads to sustainable profitability and returns, whether that's in the non-profit segment where we have only a small share, but see an opportunity to meaningfully grow or in labor unions, where we're well known, but still only have a small share of the nation's entire labor market. Amalgamated has something very few other banks have, an undisputed reason to win the ties. Wrapping up, I'm pleased with our results and we are tracking according to our plan. As we build capital and earnings base, the strength in our financial results and the visibility that we have for the year ahead provides real optionality for our management team as we review a wide range of possibilities to enhance our growth profile. That said, we recognize we are less than a year removed from the highly disruptive banking turmoil in early 2023, and we're cognizant of the higher for however long interest rate environment. Patience will be a key theme for us in 2024, as we execute our number one priority to be good stewards of our customers' money. As I always say, we are America's socially responsible bank. Jason, my friend and partner, over to you.
Jason Darby: Thanks, Priscilla. Hi there, and good morning, everyone. I'm going to start off on slide four of the earnings deck. As Priscilla mentioned, our 2023 fourth quarter produced solid results. Net income was $22.7 million, or $0.74 per diluted share and core net income, a non-GAAP measure, was $22.1 million or $0.72 per diluted share. The quarterly results featured significant growth in deposits across multiple segments, increased net interest income, margin expansion and our leverage ratio across 8%, all of which I will discuss in further detail. Additionally, during the quarter, we booked a $3.3 million adjustment to tax expense to record additional liabilities and a write-down of deferred tax assets, driven by a state and city tax examination that reduced the bank's net operating loss carry-forwards. The tax adjustment detracted $0.11 per share from both GAAP and core net income during the quarter. But we do not expect further tax adjustments of significance related matter. Taken as a whole, we are very pleased with our core operating performance. Turning to slide five, I'd like to make a quick note that we are now excluding the timing impact of tax credits or accelerated depreciation related to our solar tax equity investments in our normal core net income calculation to simplify our business performance presentation. During the quarter, we have one new solar tax equity transaction and an additional solar grid project go live related to a previously booked transaction. This resulted in recognition of $3.3 million of solar tax credit income that was excluded from our core net income metrics. For forecasting purposes, we've updated the expected effects of these transactions for the next four quarters. Moving to slide seven. Deposits on December 31st, 2023 were $7 billion, an increase of $21.1 million from the linked quarter. As Priscilla detailed earlier, on-balance sheet deposits, excluding brokered CDs, increased by $170.9 million or 2.6% to $6.8 billion. But there was significant additional deposit growth during the quarter. In keeping with our neutral balance sheet strategy, we are managing $303 million of deposits off balance sheet comprised primarily of transactional political deposits and transitional deposits scheduled for our trust business. Looking at some deposit metrics. Non-interest bearing deposits, excluding brokered CDs, represent approximately 43% of average deposits as well as 43% of ending deposits, contributing to an average cost of deposits of 125 basis points in the fourth quarter, up 14 basis points from the linked quarter. And while we exceeded our expectations with the level of non-interest bearing deposits given the rate environment, we believe this also reflects our deposit franchise differentiation well. Checking in on political deposits on slide nine, we're up to approximately $1.2 billion as of December 31st, 2023, an increase of $236.1 million on a linked quarter basis. And through January 17th, 2024, we've had a further $32.3 million of political deposit inflows. As the election cycle continues, we are optimistic to match or exceed our previous high watermark in the coming quarters. Jumping ahead to slides 10 and 11, the book value of our traditional securities portfolio decreased $40.5 million during the quarter, primarily as a result of $36.8 million in strategic sales and $48.3 million in traditional securities paydowns, while net PACE assessment growth was $21.5 million. I'd like to note that our PACE originations during the quarter were strong at nearly $60 million. Those originations were offset mainly by prepayments and normal cash receipts related to end of year tax remittances. Our pre-tax unrealized loss position in our available-for-sale securities portfolio was $102.3 million, or 6.5% of the total portfolio balance, improving by $26.4 million in the previous quarter, largely as a result of the backup in rates towards the end of the year. Importantly, our AFS portfolio duration was only two years, reflecting our conservative investment decisions. Turning to slide 12. Net loans receivable at December 31st, 2023 were $4.3 billion, an increase of $48.7 million or 1.1% compared to the linked quarter. And this increase was primarily driven by a $53.2 million increase in multi-family loans, a $29.3 million increase in commercial real estate portfolio and a $16.1 million increase in residential loans, offset by a $39.4 million decrease in commercial and industrial loans, mainly related to paydowns on revolving lines of credit. Additionally, we have furnished a composition of our multi-family portfolio to better illustrate our exposure to certain rent-controlled legislation. And at year-end, less than 44% was related to pre-1974 or Section 8 rules. Finishing up on loans, the yield on our total loans increased 12 basis points to 4.68% during the quarter. The loan yield increase was mainly attributed to the improved yield of new loans generated during the previous quarters. And we saw increases across all individual asset classes. On slide 14, net interest margin was 3.44% for the fourth quarter of 2023, an increase of 15 basis points from 3.29% in the linked quarter. The increase was largely due to increased yields and average balances of interest earning assets, as well as less pressure on cost of funds as deposits replaced nearly $150 million of high-cost brokerage CDs. And while we are rather pleased with our margin expansion, we are acutely aware of the continuing higher rate environment and the ongoing competition for deposits. While we expect to see asset yields continue to grow as we turn over our balance sheet, we also believe deposit costs will continue to rise as well. A key advantage for us in 2024 will be maturing of more than $300 million of higher-cost borrowings that can be replaced with lower-cost deposits. On page 15, core non-interest income, a non-GAAP measure, was $8.5 million compared to $7.8 million in the linked quarter. The increase was primarily related to fees from our treasury bill investment offering, as well as fees earned from off-balance sheet reciprocal deposits. On page 16, core non-interest expense, also a non-GAAP measure, was $37.8 million, which is an increase of $0.5 million from the third quarter of 2023. This increase was mainly driven by a $0.2 million increase in professional fees and a $0.4 million increase in other expenses, primarily as a result of accelerated residential loan servicing costs. Moving to slide 17, non-performing assets totaled $34.2 million or 0.4% of period-end total assets at December 31st, 2023. And our criticized assets increased by $22 million, largely related to the downgrade of an $18.7 million commercial industrial loan to substandard and accruing. On slide 18, the allowance for credit losses on loans decreased $2.1 million to $65.7 million at December 31st, 2023. And the ratio of allowance to total loans was 1.49%, a decrease of 16 basis points from 1.55% in the linked quarter. Provision for credit losses totaled an expense of $3.8 million for the fourth quarter, compared to an expense of $2 million in the third quarter of 2023. The expense in the fourth quarter is primarily driven by a $4.7 million construction loan charge-off, partially offset by improvements in macro-economic forecasts used in the CECL model. Continuing to slide 19, we look at some of our key performance metrics during the fourth quarter. As previously discussed, we have been laser-focused on building our capital position. And so, our Tier 1 leverage ratio improved 18 basis points to 8.07%, and we are on track to achieve our 8.5% target by the second quarter of 2024. Our tangible book value per share improved by a healthy 7.5% to $18.74. That said, it should be noted that we had a $19.3 million improvement in book equity related to the tax-effected mark-to-market on our AFS securities portfolio. We also remain pleased with our tangible common equity to tangible assets ratio of 7.16% for the quarter in comparison to 6.72% from the previous quarter. Another key metric for us to focus is our core revenue per share, as we continue to grow our net interest income earnings profile and also our ability to drive more meaningful non-interest income. Our core revenue per diluted share was $2.48 for the fourth quarter. Now turning to slide 20. And as is our normal cadence, we are initiating full-year 2024 guidance of core pre-tax pre-provision earnings between $143 million and $148 million, and net interest income of $268 million to $272 million. And while we don't expect any significant Fed rate changes during the first half of 2024, we continue to consider the forward curve to inform our NII guidance. Additionally, we are initiating a conditional balance sheet growth target of approximately 3% starting in the second half of 2024. We intend to continue with our neutral balance sheet strategy through the first half of 2024, as we patiently pursue our stated Tier 1 leverage target of approximately 8.5%. Additionally, we'll be monitoring a number of macroeconomic factors to inform our decision-making and our credit quality metrics will be key. Perhaps most importantly will be the performance of our deposit gathering franchise throughout the year with the understanding that we will see significant political deposit outflows in the fourth quarter, when the presidential election concludes. Briefly looking at the first quarter, we think our net interest margin has reached a point where we're cautiously optimistic for potential expansion of around 5 basis points. Correspondingly, we anticipate our net interest income to range between $66 million and $68 million. And in addition to our NII guidance, we also estimate an approximate $1.6 million decline in annual NII for an immediate parallel 25 basis point decrease beyond what the forward curve currently suggests. Wrapping up, we'd be remiss if we didn't remember the 2023 year was a year in banking as challenging as any. The stress and pressure was real and yet we emerged stronger. And while we are quite pleased with our fourth quarter and full year results, we aim to strike a cautious outlook for 2024, as there remains much uncertainty. One thing we are quite certain of, socially responsible banking can do well financially and do good for the world at the same time. And we look forward to banking our loyal change maker customers in 2024 and for many years to come. And with that, I'd like to ask the operator to open up the line for questions. Operator?
Operator: Thank you. Ladies and gentlemen, at this time, we will be conducting a question-and-answer session. [Operator Instructions] Our first question comes from the line of Alex Twerdahl with Piper Sandler. Please proceed with your question.
Alexander Twerdahl: Hey, good morning.
Priscilla Sims Brown: Hi, Alex.
Jason Darby: Good morning, Alex.
Alexander Twerdahl: First off, I wanted to ask about, you know, within the context of a neutral balance sheet for the first half of the year, assume we're going to get some remixing from securities into loans. I know we have a little bit of your work cut out for you just to keep the loan portfolio neutral, given the maturities that you cited. But maybe just talk a little bit about sort of expectations for the loan portfolio for the first half of the year and maybe some of the -- specifically, some of the sectors within your various business lines that we might expect to see, you know, have some good momentum over the next couple of quarters.
Jason Darby: Sure. Happy to take that, Alex. Great to talk to you again. I think for the upcoming two quarters as we think about that neutral balance sheet strategy, we've got a nice mix of lending opportunities within our pipeline to support all of that. Also looking at some of the maturities that we have on the borrowings profile. I think there'll be some interesting movement in terms of our funding mix and our overall asset classes. With regard to the lending pipeline in particular, we're pretty excited about some of the opportunities we're seeing in our C&I pipeline. When we think about our forecast for the first quarter, we have a decent amount of loans that we feel are highly probable of closing. When I think about where we see a lot of opportunity, we think consumers, I'm sorry, Community Solar will be one of the asset classes that we'll see some advancement in. And we think battery storage will be another, which is in that climate risk space. And we also feel like our real estate lending from an impact perspective has some really good opportunities as well. We're seeing a lot of opportunity -- excuse me, in industrial real estate. We're seeing a lot of opportunity in homeless shelter opportunities. I'm sorry, I'm saying that twice and also education. So those might be some of the asset classes where we see some real runway in the first half of the year and some of the things that we're focusing on to build up that lending part of our business for the 2024 plan year.
Alexander Twerdahl: That's great. In terms of some of those segments, just as we think about sort of rate sensitivity, I know like, you know, real estate in general has been -- maybe a little bit slower as the five year is a little bit higher. And maybe people look at deals and maybe they pencil a little bit better as rates come down. I mean, is there a lot of sort of rate sensitivity or kind of deals that don't pencil that maybe when rates come down, they work better or some of these lines of businesses, kind of loans and expansions and things that kind of have to get done and maybe benefit enough from some of the Inflation Reduction Act, tax cuts and things like that, that maybe there's just less sensitivity to actually what's going on with the rates?
Jason Darby: Yeah. I think there is a mix of both, Alex. To -- with regard to rate sensitivity, there are certain deals that are certainly susceptible or feeling the pressure regarding the higher rates. And we've talked about this quite a bit for new deals to the bank, things that may seem a little stretched. We are in a position to perhaps find alternate players to help satisfy our work with those particular customers that are on a mission aligned space. But with our neutral balance sheet strategy, we still maintain that ability to be selective in terms of pricing and also the related credit quality. And we'll continue to move along that path. Now when I think about the loans that are rolling over and then will come due for maturity during -- during 2024, one of the things that's actually quite helpful is the low LTVs that we have on the portfolio assets in place right now. And so, we'll be perfectly willing to work with borrowers to find an opportunity to refinance with us and maybe use a little bit of that LTV embedded value to help find a path for them to remain with the bank. So I think that's the couple of the ways that we're thinking about the portfolio opportunities and maybe some of the sensitivities for -- at least for the first half of the year. When we get to the second half, and maybe we'll see some pressure release from -- from the overall macro rate environment. And I think that will bring more players into the basket of -- of credit, where we feel it's appropriate. And we should be able to find more opportunities in the second half of the year, if the rates -- rates abate a little bit.
Alexander Twerdahl: Got it. That's all helpful. And then can you just maybe just walk through and help us understand a little bit better the strategy of moving the $303 million off balance sheet. Are those -- I guess, first off, would those be included in the political deposit? I think you said primarily their political deposits in the political deposit slide, the $1.2 billion in total. And then kind of, I guess, is it really more to provide insulation as some of the borrowings come due and they'll come back on balance sheet to replace those as those come due, or how should we think about kind of the off-balance sheet piece in the context of the overall balance sheet over the next couple of quarters as we head into the election?
Priscilla Sims Brown: Maybe I'll start, and feel free to chime in. Those are really -- you can really think of that as deposits in two categories. One is, yes, we do expect that political deposits will peak probably slightly earlier than we've seen in the past, just because of the ramp-up that we've seen, which has been early and fast. So where you normally might see this drop-off occur in fourth. You might see it towards the end of second or early third quarter. And then, the other category would be -- we have -- given our relationship with clients is robust across businesses, we have -- we have clients who have come to us primarily in the not-for-profit space coming from, by the way, money center banks who are looking at a really robust relationship across a number of lines, including some of their pension business, which ultimately we know is moving into trust. And in fact, we've seen some of that occur already so far since the quarter-end. And so, those were off balance sheet because they are ultimately going to be -- going to trust -- the trust business. And actually the movement has started.
Jason Darby: Yeah, I think that's right. And then, Alex, I think to add on to Priscilla's comment, the nature of the political deposits as we get a little bit closer to the election, we're now inside of a year, those become in our view much more transactional in nature with shorter duration. So the ability for us to deploy funds against that is a bit limited, but I think more importantly, we're certainly prioritizing capital and the building of that as one of our key focus and key objectives. And moving some of the deposits off balance sheet helps maintain our upward trajectory on capital. And the other side of that strategy really gets into how we stage the wholesale funding that we have on our balance sheet right now. We have another $220 million coming due for maturity during the first half of this -- of this year of 2024. So in a lot of ways, we will be also bringing those deposits back on to balance sheet to match off the funding extinguishment on the wholesale side as we go into the -- go into the half of this year.
Alexander Twerdahl: Okay, that's helpful. Is it fair to assume that the sort of the economics of moving off balance sheet and the fee generated would be pretty comparable if they are just invested in cash, if they're on your balance sheet?
Priscilla Sims Brown: Yeah.
Jason Darby: Yeah. We've been able to negotiate a pretty competitive rate for the off-balance sheet movement. And some of that has started to flow through non-interest income. So we made a conscious decision to -- to think about the off-balance sheet deposits in that way. We obviously could have done something through NII. But I think the reality is we can have a flow-through of non-interest income on that spread and still maintain our capital targets at the same time, which is the essence of the strategy.
Alexander Twerdahl: That's great. Thanks for walking through that for me. That's all my questions for now.
Jason Darby: Thanks, Alex.
Operator: Our next question comes from the line of Janet Lee with JPMorgan. Please proceed with your question.
Priscilla Sims Brown: Hello, Janet.
Janet Lee: Good morning. Hello. I'll start with loan growth. Is the 2% to 3% sequential loan growth that we've talked about still viable? It appears that the paydowns of C&I revolving lines impacted the 4Q results. But if you look into 2024, can we expect the pace of loan growth to pick back up versus a more muted level of growth in the fourth quarter?
Jason Darby: Yes, Jan. I think that's exactly right. We are still very comfortable with a 2% to 3% sequential loan growth target, particularly in our neutral balance sheet position through the first half of the year. And while we had some lower loan growth in the fourth quarter, the originations were certainly robust and we also feel like the pipeline that we've got established and they talked about a moment ago will have some nice pull through in the first quarter and the second quarter to support that.
Janet Lee: Okay. And the key driver of that is going to be from your impact lending area, including sustainability, C&I and CRE? Okay.
Priscilla Sims Brown: That's correct.
Janet Lee: And in your NII outlook for 2024, can you talk us through the interest-bearing deposit beta that's assumed on the way down?
Jason Darby: Absolutely. So on the way down, we're assuming a 35% deposit beta on our interest-bearing accounts. And that is a lower rate than what we would assume and have assumed on an up scenario, simply because we just feel like the rates aren't going to be able to move as quickly in relation to how the Fed would move. But we are taking a conservative approach, and 35% is a move, but I think there is obviously room for that to be an improved number. But we're not going to model it that way. I think we're going to be very cautious about how we would affect our customers' rates and make sure that our customer feels very comfortable with how they're being compensated by the bank and what the bank's pace of movement is. We certainly don't want to be one that's snap reacting to a drop in rates because with our profile as it is right now, we have a little bit of an ability to be patient and really allow our customers to feel as much benefit as possible in a down rate scenario.
Janet Lee: Okay. And in terms of your NII sensitivity, if I heard that right, $1.6 million annualized decline in NII for a 25 basis point movement in rates. I think it's a little bit a step-down versus maybe $0.5 million that you talked about in the prior quarter. What has changed over the past quarter in terms of your sensitivity because a lot of other banks have reduced their asset sensitivity? It's on a more incremental basis, but still --
Jason Darby: Yeah. I think the guidance that we were giving in the prior quarters was really mainly based on an increase in interest rates. And so, that $0.5 million reduction was really on an increase in interest rates, as we start to think about it on the decrease moving to $1.6 million is a little bit more of a shift for us from where we had previously been. Now that said, what we're modeling is that's on top of what the forward curve is already suggesting. So we've baked into our NII guidance for 2024, an assumption around -- a conservative assumption around what the forward curve suggest for rate cuts through the back half, really through all '24 but accelerating in the back half of '24 and additional $1.6 million. And remember it would be a parallel shift with short-term and long-term, but that one $1.6 million is incremental, should the rates decline at a rate further than what the forward curve is currently suggesting.
Janet Lee: Okay, that's helpful. Thanks for the clarification. And lastly, on pay securities, so nice origination number, but some big offset with the pay downs. It looks like you keep originating at a, I mean, at a stronger pace and what you guide to in terms of quarterly pace securities growth, but if you look at like on a net basis after paydown, normal levels of paydown for 2024, is $35 million to $40 million per quarter is still a good pace to assume? Any reason why you would expect higher versus lower pace on both commercial and residential?
Jason Darby: That's a really good question. I think the $35 million to $40 million is a comfortable mark for us to communicate for the future quarters. Part of the PACE arrangement really depends on the production flow. And we're not always able to predict with any certainty how much it's going to be greater than what we normally guide to. I think the payments in this particular quarter are higher than normal. We saw some prepayments that we were not expecting relative to commercial pace. And we also see the normal seasonality of the year-end tax payments that provide a little bit of a higher netting effect. But in terms of production, I think the R-PACE is relatively stable. And when I usually quote that $35 million or $40 million, I'm thinking mainly of the R-PACE securities, C-PACE is somewhat selective. And as we find opportunities, we'll look to book those particular assets. In terms of what we're thinking about from an opportunity space without thinking about flow, we see roughly $50 million to $100 million of potential C-PACE opportunities throughout this year, Janet. But again, coming back to that $35 million or $40 million, I don't normally include C-PACE in that thought process. That's normally my R-PACE flow. And so, on top of that, you could potentially see another $50 million to $100 million in C-PACE throughout the year, albeit I don't see anything immediately happening in the first quarter, but there is still a possibility something could, but I don't see anything immediate in the first quarter
Janet Lee: Okay. And sorry I lied. If I can squeeze in just one more question. Sorry if I missed this in your remarks. So basically, all-in, given the repricing -- the benefit of the fixed asset repricing and the deposit repricing down that's expected for 2024, can we assume a steady gradual improvement in NIM? Is that what is baked into the 2024 guide?
Jason Darby: Yes, Janet, that is included in the 2024 guide. I did not specifically comment on our expectation on margin in my opening remarks, but the way that we've had planned out, we do think there is a possibility -- a good possibility of incremental, steady margin expansion, particularly given the turning over of the balance sheet from a loan perspective. We have about $375 million or so of loans are going to mature and need repricing during the year, about $225 million of those -- is related to our commercial lending portfolio. So great opportunity to redeploy into some of the things we talked about earlier with our sustainability, C&I and our impact real estate. And again, as I mentioned, we have a nice funding mix changing that's going to occur during the first half of the year with about $220 million of term debt or brokered CDs maturing as well. And with the political deposit balances and other deposit balances that we're seeing come into the bank, we think there's a great opportunity to be able to offset any potential increases in the cost of funds on the deposit side with that mix shift down on the wholesale borrowings or wholesale fundings. And so, it's reasonable to assume that we should have incremental growth on a steady and consistent basis in the margin through 2024. That said, lots of things could occur during the year. And obviously, as we see events unfold and if we see increased pressure on cost of funds or there's other macroeconomic factors that occur that could change the outlook, that margin expansion may be a bit more muted or even compress. But all things equal and based on the outlook that we see right now, we do think there is an opportunity for expansion.
Janet Lee: Great. Thanks for taking my questions.
Jason Darby: Thanks, Janet.
Operator: [Operator Instructions] Our next question comes from the line of Chris O'Connell with KBW. Please proceed with your question.
Christopher O'Connell: Hey. Good morning.
Priscilla Sims Brown: Good morning.
Jason Darby: Hey, Chris.
Christopher O'Connell: Hey. Just wanted to make sure the off-balance sheet deposits in the fee that you guys are getting off of those, that's included in the core PPNR guide, right?
Jason Darby: That's a great question. That is not included in the core pre-tax pre-provision guide. The reason being is that it's very difficult to predict how that's going to be able to play out over the course of the year. So we've elected to exclude that from the pre-tax pre-provision guide. And we'll report it as a separate number. So you can clearly see it in upcoming quarters. But we don't want it to be something that could be baked into forecast, simply because a lot can change with regard to the political election cycle. And it's really difficult to actually predict how much we'll have available at any one point in time to continue to push into the off-balance sheet strategy.
Christopher O'Connell: Got it. That's helpful. And do you have a sense of just if they, let's say, they were to stick around off-balance sheet for like the entirety of the first quarter, just what that impact would be?
Jason Darby: All things equal and based on the way we have it structured right now, I could see that contributing somewhere between $1 million and $1.5 million of non-interest income for the quarter.
Christopher O'Connell: Great. That's helpful. And then -- so the increase, I think, 22 million of the criticized and classified. I think you guys said in the prepared comments, that 18.7 million was due to one C&I downgrade. Can you just kind of walk through any details around that credit?
Jason Darby: Yeah, absolutely. So this was -- this is a credit that is an agency deal, and it's been a little bit stressed by the higher rate environment. We saw a fairly quick uptick or, I should say, a downtick in the debt service coverage ratio, albeit no payments have been missed and the loan is still accruing between the agent and ourselves as we took a look at the current credit metrics, it warranted a movement to a substandard grade. Now that said, there is a lot of interested parties in this particular credit, there is an amendment that's being worked on in the current quarter. We think there might be a couple of new lenders and some new money in the deal, and we're also working on potentially reducing our own exposure at the same time. So all things equal, Chris, it's a conservative position on the loan. It's a big loan from the bank. We obviously don't want to be overly optimistic with regard to how we graded it at the end of the year, but at the same time, you can imagine the amount of attention that it's getting from not just from us, but from the other parties involved in the deal. And the fact that there is new potential lenders coming into the deal, I think there's a really good opportunity for this to find its way to a strong amendment with the reduced rate and an improvement on the ability -- the company's ability to cash flow. And with any luck as we get towards the end of the year, this could potentially move back around into a pass grade. But for now, that's the current status of the loan and a lot remains to be seen here in the first quarter regarding the amendment process.
Christopher O'Connell: Got it. And do you guys have a specific reserves set against that?
Jason Darby: There is no specific reserve set against it, mainly because it's accruing. There may well be a small specific that is generated by the CECL model that -- that relates to the accruing part of it, but I don't exactly know what that number is. But if there is something, it's going to be reasonably small. But it obviously will and drive some of the overall coverage factors in our CECL model. And so, the coverage on that particular asset class through CECL went up during the quarter.
Christopher O'Connell: Got it. And for the net charge-offs this quarter on the one construction loan, was that mostly previously reserved for?
Jason Darby: It was about 25% to 30% reserved for in the prior quarter. So we charged off about $4.7 million on this one construction loan. We had about $1.3 million reserved for in prior quarters. So we took an additional $3 million or so charge through the provision in the current quarter to charges loan off. Now we made an election that charge it off, we might have been able to take a little bit less of an overall position on this, but we made an election to charge it off simply because the outlook on repayment is murky and probably long in duration. And rather than have that loan really kind of go through debt by a thousand cuts in terms of additional charges or reserves all throughout next year. We really want to have that be removed from our non-performing metrics, how to flow through the P&L. And as we work it out over time, potentially get some type of recovery that we can work through in future years to come.
Christopher O'Connell: Got it. I guess, was there any other driver of the decline in the allowance ratio on -- not the dollar amount, but on a percentage basis?
Jason Darby: Yeah. We do our annual refresh. We're a first year CECL adopter, but we do a refresh of our baseline loss rates at the end of the year. And we did see a little bit of improvement in a couple of the different asset classes. So that had part of it. But the biggest driver of the decline was the release of that specific reserve through the charge-offs that 1.3 million was probably the biggest influencer of that decline to, I think, it was a 1.47 coverage ratio from 1.55.
Christopher O'Connell: Got it. And as you guys are kind of pretty well on track to hit your Tier 1 leverage ratio target, just given the recent moves in the market, how are you guys thinking about any buyback utilization going forward?
Jason Darby: So buyback utilization remains a arrow in the quiver, Chris. It's certainly part of our capital plan. Where we buy is somewhat subjective. And we'll take a close look at where the prices relative to our tangible book value, but certainly, it's going to be available for us to go to, but I don't necessarily see us being at the same pace in terms of buybacks that we were in the earlier part of 2023 at least not for the immediate future.
Christopher O'Connell: Okay, got it. That's helpful. That's all I had. Thanks for taking my questions.
Jason Darby: Thanks, Chris.
Operator: There are no further questions in the queue. I'd like to hand the call back to Priscilla Sims Brown for closing remarks.
Priscilla Sims Brown: Thank you, operator, and thank you all today for your questions and your continued interest. We appreciate all of that and the opportunity to discuss our fourth quarter, which demonstrates the strength and competitive advantages that Amalgamated enjoys as we look to the year ahead. While the market environment remains challenging, we're in a solid position we believe, and our deposit franchise continues to deliver strong inflows as the presidential cycle is in full swing as well as across our key customer segments where we are uniquely positioned to win. We like the pipeline. We think it's strong and it has delivered, as you've seen. We're also the leader in sustainable lending, which will provide growth and margin expansion as we replace older, lower yielding loans and securities with higher yielding sustainable loans. This is a powerful mix shift that has started to deliver results. And we think it will continue over the year. I couldn't be more excited about what the future holds for Amalgamated for our shareholders and our customers. Thank you again for your time today, and we look forward to talking with some of you as you have detailed questions as we go along. Thank you.
Operator: Ladies and gentlemen, this does conclude today's teleconference. Thank you for your participation. You may disconnect your lines at this time, and have a wonderful day.